Agilysys, Inc. (NASDAQ:AGYS):
F3Q 2010 Earnings Call:
Executives: Martin Ellis - President and Chief Executive Officer.  Ken J. Kossin, Jr. - Senior Vice President and Chief Financial Officer
Analysts: Brian Kinstlinger - Sidoti & Company. Sabu Joseph - BOE Securities.
Operator: Good morning and welcome to the Agilysys Fiscal Third Quarter 2010 Conference Call. Some statements made on today’s call will be predictive and are intended to be made as forward-looking within the Safe Harbor protections of the Private Securities Litigation Reform Act of 1995. Although the company believes that it’s forward-looking statements are based on reasonable assumptions, such statements are subject to risks and uncertainties that could cause results to differ materially. Important factors that could cause actual results to differ materially from those in the forward-looking statements are set forth in the company’s reports on Form 10-K and 10-Q and news releases filed with Securities and Exchange Commission. Today’s live webcast will be archived and available on the Agilysys website. At this time, I would like to introduce your host for today’s call. Agilysys’ President and CEO, Martin Ellis. Please go ahead Mr. Ellis.
Martin Ellis: Thank you. Good morning everyone and thank you for joining us today to review our un-audited third quarter and nine-month results. With me today is Ken Kossin, our Senior Vice President and Chief Financial Officer. In addition to the standard Safe Harbor language, we will be using non-GAAP financial data, namely adjusted EBITDA. Reconcilliations to GAAP are provided at the end of the presentation as well as in our press release issued this morning. We will also be using a slide presentation as the basis for today’s review. If you have not already done so, we invite you to access the presentation from the investor relations section of our website. Turning to the quarter, we were encouraged by the improving demand environment we’ve seen in the past two quarters. While a number of sectors continue to be challenged, project funding and CapEx budgets are starting to loosen. More importantly, we were pleased to report the second consecutive quarter of solid profitability for the company. Sales for the quarter were $220 million, up 41% sequentially and approximately flat with the $224 million reported in last year’s third quarter. The greater than normal seasonality in the quarter reflecting some easing of 2009 budget restrictions and the less than 2% year-over-year decline in revenue is the smallest we’ve experienced since the recession began in late 2007. Gross margin contracted to 23.3% of sales, compared with 26.3% in the prior year, reflecting a mix of higher hardware sales and lower services sales as well as competitive pricing environment in the quarter. The slower margin drove gross profit down by $7.7million, which was largely offset by the $7 million reduction in selling, general and administrative expenses. Adjusted EBITDA was $13.9 million up $6.5 million sequentially from the $7.4 million reported in the second fiscal quarter, but down compared to prior year due to lower gross margin. We’re also pleased to report significantly improved earnings from continuing operations, which were $0.64 per share versus last year’s loss of $0.10 per share. The improvement is largely the result of improved financial performance, but also includes other income of $4.7 million attributable to a $2.3 million litigation settlement and a $2.4 million distribution from the reserve fund. Together these two items contributed $0.18 per share. The greatest improvement we have seen is in hardware sales where revenue increased 13%, driven by improvements in IT spending during the quarter in both our technology solutions and retail solutions segments. We believe some of the strength we saw in the quarter was a result of IT budgets not spent earlier in the year. Softness in services both remarket and proprietary lead to a 36% decline in services revenue year-over-year and software was essentially flat down just under 1% from year ago. This mix of higher hardware and lower services as well as some pricing pressure resulted in lower selling and gross margins for the quarter. We continue to focus on managing our cost structure and SG&A excluding depreciation and amortization decreased $3.9 million primarily as a result of lower T&E and professional fees which benefited from $1.6 million in recovered legal fees from litigation settlement. Not withstanding the improvements in cost structure, adjusted EBITDA decreased year-over-year due to the mix of products driving lower gross margins in the quarter.  Income from continuing operations rose to $14.8 million or $0.64 per diluted share compared with the net loss from continuing operations of $2.2 million or $0.10 per share last year. Depreciation and amortization decreased by $3.1 million due to lower acquisition related intangible amortization and restructuring charges decreased $12.7 million. As discussed, the other income included a litigation settlement and a distribution from the reserve fund. In summary, we're pleased with the solid performance in the quarter and pleased to report that the turn around remains on track. At this time, let me turn the call over to Ken to review segment results, balance sheet and cash flow.
Ken Kossin: Thank you Martin. The Hospitality Solutions Group contended to show improvement in both gross profit percentage and EBITDA margin percentage despite a 19.4% decline in revenue compare to last year. The decline in revenue compared to last year was primarily due to the absence of a significant hardware transaction in the prior year along with continued softness in commercial gaming and destination resort markets. This was partially offset by solid performance from the cruise line segment. Gross margin for HSG expanded 950 basis points compared with last year primarily due to lower hardware sales and lower intangible asset amortization expense during the quarter. The $1.7 million decrease in SG&A excluding depreciation and amortization was attributable to lower T&A expenses and the capitalization of Guest 360 development cost of $1.1 million during the quarter, which were expensed in the prior year. Adjusted EBITDA excluding charges improved to $5.3 million from $4.7 million last year. This represents an EBITDA margin of 23.4% versus last year of 16.9%. Turning to our retail solutions group, sales have improved sequentially from the quarterly revenue reported earlier in the year, as business benefitted from higher hardware sales. Sales in this segment were up 8.3% in the quarter versus the same quarter in fiscal 2009. As we have reported in the past, sales in this segment tend to be more variable related to the timing of large customer rollouts. Gross margin decreased from 25.6% to 19.7% compared to third quarter last year. The decline in gross margin percentage was attributable to a mix of higher hardware sales and lower services revenue in the quarter. SG&A excluding depreciation and amortization declined $200,000 mainly attributed to lower bad debt expense. Adjusted EBITDA was down $1.2 million year-over-year as a result of lower gross profit. We are pleased to see the 46% sequential sales increase from the fiscal 2010-second quarter of our Technology Solutions group, which is higher than the normal seasonal increase we experienced in the third quarter. We believe demand for IT infrastructure solutions has stabilized, as evidenced by the modest 1% decline in revenue for the fiscal 2010 third quarter compared to last year. Uncertainty related the timing or Oracle's acquisition of SUN continue to affect demand and product availability during the fiscal third quarter. Now that the acquisition has closed we expect to gain better traction in these markets. The gross margin contraction in the quarter was due primarily to the higher mix of hardware sales particularly a higher proportion of lower margin storage products combined with lower services revenue. SG&A expense excluding depreciation and amortization increased $1.3 million from the fiscal 2009 third quarter. This was due to increased compensation associated with the hiring of additional sales and technical staff and an increase in bad debt expense primarily related to the aging of certain accounts receivable, the majority of which has subsequently been collected. Intangible amortization was down $3.3 million due to certain intangible assets associated with the Innovative acquisition being fully amortized as of the first quarter. In our corporate segment, third quarter gross profit declined $1.2 million as a result of recording miscellaneous pricing adjustments to the respective business segments. SG&A excluding depreciation and amortization decreased $3 million reflecting cost reductions implemented throughout the last 18 months, in which majority of these costs were employee related. In addition, outside services and professional fees declined $3.3 million including a one-time $1.6 million credit received from settlement of litigation. And year-over-year our stock compensation increased $1.6 million as prior year included a $2.2 million benefit from the reversal of stock compensation. Turning to the consolidated results for the nine months, while revenue for fiscal year-to-date is down 12%, the sequential sales declines over the fiscal year-to-date quarters have narrowed, the third quarter revenue being essentially flat year-over-year. In the early part of fiscal year, demand for IT across all three segments was weak, as customers remained hesitant to invest in IT projects. As the year progressed, we saw improvements in all three segments particularly in RSG and TSG as customers invested in hardware in the third quarter. Gross margin as a percent of sales for the nine-month period declined to 25.1% from 27.2% of sales a year ago, reflecting a mix of higher hardware sales and lower services in the current year. Not withstanding meaningful decreases in sales in gross margin having aggressively reset cost structure by decreasing SG&A by approximately $30 million, we generated $2.3 million in operating income excluding asset impairment and restructuring charges. For the nine-month period, net income from continuing operations was up significantly to $5.3 million or $0.23 per diluted share versus a net loss from continuing operations of $167.6 million or $7.42 per share a year ago. Switching to the cash flow and balance sheet for the period ended December 31st. We continue to remain debt free and currently have no outstanding balances against our $50 million revolver. On a sequential basis, cash was $24.4 million at December 31st. A $23.8 million decrease from September 30th and an $11.8 million decrease from the start of the fiscal year. We currently estimate cash to be between $50 million and $55 million at March 31, 2010. The decrease in cash for the quarter was primarily due to cash consumed from accounts receivable of $57.4 million related to sequential increase in sales of approximately 60% of third quarter sales occurring in the last month of the quarter. The cash consumed was offset by cash generated of $28.5 million from accounts payable, which was net of paying of under $16.6 million at the end of the quarter to take advantage of an early paid discount. DSO's declined slightly from 72 days at September 30th to 74 days at December 31st, which is still a 14-day improvement from 88 days at March 31st. Capital expenditures for the quarter totaled $3.7 million and $9.6 million for the nine-month period. The majority of capital expenditures are related to the implementation of our Oracle ERP software, which is scheduled to go live in April 2010 and capitalized cost associated with Guest 360, which is scheduled for general release in the first half of fiscal 2011. Additional information regarding our fiscal 2010 third quarter and nine month financial and operational performance is in the quarterly report on Form 10-Q, which we expect to file tomorrow. Now I’ll turn the call back to Martin for his comments on recent business trends and our expectations for the balance of the year, after which we’ll open the call for questions. Martin?
Martin Ellis: Thanks Ken. As discussed, sales have improved meaningfully since the lows reported earlier this year, and we’ve realized our second sequential quarter of profitability. While our retail solutions business can show some volatility in sales, we are starting at a consolidated level to approach demand levels seen a year ago. Before we open up for questions, let me talk a little bit about outlook. We were pleased to see the Oracle-Sun acquisition close and bring to an end much of the uncertainty that many customers faced regarding the future of Sun products. Oracle is committed to increasing it’s investments in the development of Sun products, which should bode well for both us and our customers. We are also encouraged by the improving demand environment we’ve seen in the past two quarters, however, uncertainty remains regarding the backward economic environment, and while Sun’s economic indicators have improved, market conditions still reflect uncertainty regarding demand for IT products. The good news is that the market is stabilizing and our pipeline has improved significantly in the last two quarters. We’re also positive regarding our outlook for the fourth quarter of the fiscal year and expect demand levels to be similar to that in last years fourth quarter. With a continuing focus on managing costs and working capital to drive cash flow, we expect to generate approximately $15 million to $20 million in cash for fiscal 2010.  In closing, while the past eight quarters have been tough, we’ve made greater strides to strengthen our financial position. I believe we are now well positioned to capitalize on and leverage the changes we’ve made to benefit from future increases in IT spending. With that we’ll open up the call for questions.
Operator: (Operator Instructions). Our first question comes from Brian Kinstlinger - Sidoti & Company.
Brian Kinstlinger - Sidoti & Company:  First question is really surrounds your services mix both on TSG and your retail segment as well it seems you've hit some low points on gross margins despite some great volumes or at least returning volumes. So I’m wondering is this something we should expect going forward, the mix is going to change, you're going to win a lot more hardware deliveries but less of the services mix or is this a one quarter phenomenon that maybe we should look at, as maybe more the exception as opposed to the rule?
Martin Ellis:  I think firstly there is the components of revenue that’s driven by changes in demand and in the December quarter we certainly saw an increase in demand for hardware products late in the quarter. As far as services are concerned I don’t think you should expect the trend in Q3 to continue, however we will see from quarter-to-quarter mixes in products and we may have other quarters where our hardware outstrips services demand, going forward as it relates to retail as well as the technology, we still expect a strong services quarter in retail going forward, and our technology solutions business will continue to drive services as much as we can both remarketed as well as our proprietary.
Brian Kinstlinger - Sidoti & Company:
 :
Martin Ellis: Well, on the retail business, we perform a significant amount of installation and integration services on the rollout of products for our customers. There maybe some purchases in a quarter where a customer is procuring product where there may not be significant installation services work on our behalf. As far as technologies concerned, that the services are in probably three brackets, it's pre-sales configuration services, there's an installation and implementation services, and there are remarketed services. In pretty much every transaction we have configuration services as part of the overall sale, which is included in the ultimate pricing of the product. There's - and a number of instances ongoing implementation and integration services and then there were remarketed services that are attached to the hardware. As far as implementation services are concerned, we've had a fairly steady track of demand for our implementation services over the last year and have seen -- and saw some softness in the Q4 quarter with respect to re-marketed services and to circle back to sort of a tax rate that you are talking about, in our technology solutions business we have about a 10% tax rate of services to hardware, but that masks in some sense the works that people form upfront with respect to pre-sales configuration and the work that we do for customers in designing products both storage and service with respect to data center implementations.
Brian Kinstlinger - Sidoti & Company: So, on the retail business since you said you generally perform services on most deals not all this was happen to be a quarter since gross margin sending a low point where you, they were just procuring product more so than usual?
Martin Ellis: Yes, but that’s implementation and rollout services.
Brian Kinstlinger - Sidoti & Company: When you look at January it started whether it be bookings, whether it be -- what’s your actually recognizing as revenue, has the mix changed back to a more traditional level different than the third quarter levels or mix or ratio?
Martin Ellis: Certainly for the retail group our expectations for the March quarter that services will return to historical mix. The technology solutions business we’ll evaluate as the quarter continues given the significant mix of hardware and our total revenue for technology solutions.
Brian Kinstlinger - Sidoti & Company: I think and you had talked about this but sorry I didn’t get it fully. TSG actually saw SG&A increase year-over-year, I think you talked about bad debt maybe you can outline that and what’s not going to recur, but maybe take us through why with all the cuts you’ve made year-over-year, that segment happens to be out?
Martin Ellis: Brian, first addressing the accounts receivable or bad debt expenses, that went up for the third quarter, but we saw some of those older receivables being collected at the beginning of the fourth quarter. So we should see some of that bad debt expense come back in the fourth quarter.
Brian Kinstlinger - Sidoti & Company: Meaning a reversal, you have to take a reversal expense?
Martin Ellis: Yes.
Brian Kinstlinger - Sidoti & Company:  How big was that in the third quarter?
Martin Ellis: It was approximately $500,000.
Brian Kinstlinger - Sidoti & Company:  How much of that was collected.
Martin Ellis: The collection, I would say probably about 80 to 90% of that was collected.
Brian Kinstlinger - Sidoti & Company: Okay, and then you wanted talk about the remaining of the increase year-over-year.
Martin Ellis: Yes the increase primarily was in compensation and that was associated with hiring some additional sales and technical staff to support some of our TSG business that we had previously reduced but with the demand coming back, started doing some more hiring in those two areas.
Brian Kinstlinger - Sidoti & Company: So year-over-year you have more people in that business now?
Martin Ellis: No I don’t think we got more people, I just think the mix of people is different.
Brian Kinstlinger - Sidoti & Company: So when we look at, at least that portion of it, outside of the bad debt this sort of the rate we should look at going forward were the expense basis or is that something fair to take a look at?
Martin Ellis: It's pretty flat.
Brian Kinstlinger - Sidoti & Company: Okay, and then the other question and I will get in the queue as others have questions. It seems for the quarter you had in earnings as well as what sounds like a quarter similar to the second quarter of this year of profitability, what I have referred. So just you just, you generate a little bit more cash in the fourth quarter even then you've said and so I'm curious what’s happened there to get cash level only really up $67 million, maybe $8 million from where it was just two quarters ago, especially with the collections you made on the other income line for the two extra items?
Martin Ellis:   I think Brian the two primary issues impacting cash are firstly sales increase in sales with the 41% increase from September quarter to December quarter that drives incremental investment in receivables for the quarter. The other part is that we made some early payments to one of our primary vendors to avail ourselves of an early pay discount and that was approximately $17 million in early payments to one of our primary vendors. If we take into account the early payment in this quarter as well as the highest sales, those two items were the primary drivers of the change in cash flow, we'd expect as we return to normal seasonal revenue levels in Q4 to turn much of that receivable investment back into cash here in the fourth quarter.
Brian Kinstlinger - Sidoti & Company: All right, but the question I'm asking really is based on you expected at the end of March $50 million to $55 million, end of September you had $48 million, and you are expecting $50 million to $55 million, that’s a $2 million increase over a 6 months, you became much more profitable, you collected money on, my guess, as a reserve fund maybe that’s in the fourth quarter going to happen here, you collected money on the litigation it sounds like -- or had a favorable judgment. And so it seems that with what’s going on, receivable should return more so in the fourth quarter, I'm curious why you would only increase in that six month period cash of $5 million or $6 million?
Martin Ellis:  A part of that is funding of CapEx of the last two quarters. The other part is - our assumptions around receivables for year-end right now with an estimate, but if you go back to our prior quarter guidance, we have guided for a $10 million increase in cash from March 31, 2009 to March 31, 2010 and we have increased that now from $15 million to $20 million.  So, we have captured in our minds the increased expectation with respect to cash flow for the year and that change from 10 to 15 to 20 includes the reserve fund distribution plus expectations with respect to cash generation of the remainder of the fiscal year.
Operator: (Operator Instructions). Your next question comes from Sabu Joseph - BOE Securities. 
Sabu Joseph - BOE Securities:  A couple of quick questions. One is a follow-up to Brian's question about the SG&A. The SG&A increase in the TSG business are you saying you are not necessarily hiring people or you are shifting people from business to business. Is that what you said?
Martin Ellis:  No, we did hire people in the summer of 2009. We hired a number of people both sales and engineers to start positioning ourselves for turnaround in demand as the markets started to recover.
Sabu Joseph - BOE Securities: But for Q3, did you have any new hires?
Martin Ellis: Not in Q3, no. They happened in the September quarter. Some of the increase in compensation related costs for TSG is associated for higher sales in the quarter given that commission is obviously tied to revenues and gross margin. And a higher gross margin in the quarter drives higher compensation costs.
Sabu Joseph - BOE Securities: The only other question for you, talked about your cash flow targets for roughly $15 million to $20 million for FY10. For you to get to that $20 million at the higher end of your target, what would have to happen?
Martin Ellis: To go to the higher end it’s largely going to be a function of DSOs at the end of the year. We know what we’ve obviously earned to date. The biggest change between now and the end of the year is ultimately where DSOs end up at the end of this fourth quarter.
Sabu Joseph - BOE Securities: Okay, so you’re saying that the $15 million to $20 million, the $5 million difference is mostly due to your DSOs, your expectations for the DSOs?
Martin Ellis: Yes.
Sabu Joseph - BOE Securities: And, you talked about where you had a $500,000 bad debt that you booked in Q3, which you collected subsequently?
Martin Ellis: Yes.
Sabu Joseph - BOE Securities: The HSG business, can you talk a little more about the demand outlook in that segment?
Martin Ellis:  Well, I think when you look at HSG, you’ve got to look at number of different markets. There is a geographic cut, North America versus rest of the world and there are segments within the hospitality industry. Maybe if you take geographic first, we continue to see growth in the international markets particularly in Asia with the opening of some new casinos and the opportunities for our customers in the Asian market and build up that market, so we see some growth in the international market. As far as casino, hotels in North America are concerned that part of the industry has certainly been impacted by the downturn we had the last 18 months to 24 months. And what was scheduled as the opening of new hotels has been scaled back.  However, there is some property portfolio restructuring that has the prospect of providing opportunities for new license and installations with customers. But generally speaking North American casino, hotels and resorts have been soft a lot, the 12 months to 18 months. On the other the side the cruise market and corporate food service providers have been a lot stronger. We’ve seen growth in both cruise and corporate food service providers. And so in those markets, the softness that we’ve seen in resorts and casino hotels have been offset by some growth in corporate food service providers and cruise. And then you have the international or the geographic component to it and we'd expect probably slightly higher growth out of international markets than out of North America.
Sabu Joseph - BOE Securities.: So you said the Asian market is a profit, but how much of your business come from the non-U.S market?
Martin Ellis: Today, it's about 12% of total revenues for HSG.
Sabu Joseph - BOE Securities.: For HSG 12% of the revenue, okay. And what are they, what are the plan for that segment that the growth plan for that segment, what do you plan to do up there?
Martin Ellis: Well, from a growth perspective, there's ultimately industry demand and how that changes and then the company's specific issues as we've mentioned and as Ken reviewed we've been developing our new property management system over the last number of years, and that's currently in embedded testing and will come to market here in this spring, summer of this current calendar year. So we look forward to driving that product into the market over the next quarters and years. In addition to that, we continue to pursue new opportunities in the international markets as well as to drive the existing products that we have deeper into the segments that we compete in today. And that would include casino, hotels and resorts as well as food service, cruise and then stadiums and arenas.
Operator: Your next question comes from Brian Kinstlinger - Sidoti & Company.
Brian Kinstlinger - Sidoti & Company: I want to follow up to the HSG discussion. What percentage of that revenue is resorts and casinos versus the other markets you’ve discussed?
Martin Ellis: Our resorts and casinos…
Brian Kinstlinger - Sidoti & Company: Of HSG obviously.
Martin Ellis: Approximately 50% of sales and that would include international resorts and casinos.
Brian Kinstlinger - Sidoti & Company: So that includes the 12% you mentioned.
Martin Ellis: Yes, but the 12% is not all resorts and casinos.
Brian Kinstlinger - Sidoti & Company: So when you talk about, when you check the channels and you are talking to your customers, what is your expectation for when capital spending, for example in the North America or specifically Las Vegas is going to start picking up? Is it going to be another year is it going to be a quarter or two and what is sort of your expectation?
Martin Ellis: Well I think generally speaking if you look at the number of the hotel properties that were scheduled to be developed here over the next 12 to 36 months, a number of them were, were put on hold late last year.  You are starting to see firstly some restructuring in property portfolios in the Vegas or more generally in the hotel casino market. And as properties get restructured and acquired by new owners, the opportunity to sell a new property management system and related food and beverage back office requirements as well as point of sale requirements to the new owner of the property, so that’s one part. The second part Brian is you're starting to see some of those properties potentially be rebuilt and the one has found some glue and you may have read some of the headlines about that coming back to market with the number of bidders looking to buy that property and so some of them are starting to be developed again. Then the third driver is ultimately decision made by owners of the various property management companies to upgrade or replace existing existence whether it's supposedly to have a standardized offering across all properties, also upgrade from what they've historically had. My sense is, you've prospects for the rebalancing of property portfolios, will drive some sales, the development of new properties will probably be somewhat slower though we are starting to see a pick up slightly and then ultimately the upgrade of systems will come as companies get more comfortable with the macro economic environment and willingness to invest.
Brian Kinstlinger - Sidoti & Company:  When you look at the release of Guest 360, which I think you said is first half fiscal 2011. Give us a sense for, you already have a backlog of orders though that you presented and how meaningful will it be right away will it take some time for it to have meaningful revenue. Just give us a sense for what you are expectations are for that product?
Martin Ellis: Well the sales cycle is different to shrink-wrapped applications we've obviously got to build the pipeline. We have obviously demoed this product at trade shows and to some customers. I think part of what drives demand for that product is going to be firstly the product it sells, secondly will be new hotel construction, and thirdly will be companies willing to change out existing applications. I think initially as you look at that market, new hotels and resorts will be a primary target and then over time we'd look to build out our footprint in other sectors of the hospitality industry. We will have obviously our existing applications that we sell to the gaming and casino industry, and those we will continue to offer. And Guest360 will be added and offered now to new hotels with a focus over the next 12 months to 18 months to start to push into the international market too. Part of what helps drive that pipeline is ultimately going to be a more formal launch of the product together with hiring sales people to sell the product.
Brian Kinstlinger - Sidoti & Company: Is it too aggressive to assume that this could become 5% or 10% of revenue within its first year?
Martin Ellis:   I think that’s a little optimistic in the first year particularly when you have a look at current growth in the overall hospitality industry.
Brian Kinstlinger - Sidoti & Company: During the December quarter it looks like - I mean some strong growth from retail, in an area where as you struggled, we finally saw some improvement in retail sales, was that more from store expansion or upgrades? And maybe give us a sense for where you expect growth to come from, split between those two over the course of next couple of quarters?
Martin Ellis:   Generally speaking, we have not seen meaningful store expansion outside of a few custom specific store rollouts where some customers are expanding and opening up new stores. Most of what it has been has been replacement of existing infrastructure and hardware products.
Brian Kinstlinger - Sidoti & Company:  Was the December quarter or year-over-year growth a function of one client or two clients or is it across the board improvement and demand.
Martin Ellis:  It is more than a couple, but it is not across the board with respect to all our customers.
Brian Kinstlinger - Sidoti & Company:  Do you still have one 10% client?
Martin Ellis:  At the consolidated level yes.
Brian Kinstlinger - Sidoti & Company: And how has that performed year-over-year?
Martin Ellis: Our relationship continues to be good. You can have a look at the percentages of revenues in our 10-Q when we file that tomorrow, but generally speaking, it is pretty close to what it was a year ago.
Brian Kinstlinger - Sidoti & Company: I'm just curious, are they growing faster or slower or inline with the company. Just wanted to get a sense of the rest of the business?
Martin Ellis: In some products and areas, faster than the company.
Brian Kinstlinger - Sidoti & Company: The final question I have is, your thoughts on finally completing the Sun and Oracle deal, which sort of lifts the overhang that customers may have had. How do you think this will impact your business, hopefully for the better, but anyway possible it might affect your business? 
Martin Ellis:  Well, I think there is a historical comment, which is, as customers waited to see how the acquisition by Oracle of Sun ultimately came to close, a number of customers had put investment decisions on hold until they learnt more. So we certainly saw in the summer of 2009 and late last year, some hesitancy on behalf of customers as they waited to learn more. As Oracle has started to share more and more information with respect to their intent and their plans to invest in the product and set out product road maps, I think customers will be coming increasingly optimistic about the acquisition. And certainly as you look to, now what is really the first release by Oracle of a product that jointly developed between Sun and Oracle they exudated two products that you may have seen commercials on.
 :
Operator: Your next question comes from Sabu Joseph - BOE Securities
Sabu Joseph - BOE Securities: One quick followup question, it’s rather a followup from the previous quarters. Can you give us an update on the cost savings target for the current fiscal year and what you are looking into for the next year or two?
Martin Ellis: Well let me start with next year. At this point we don’t have any planned savings for next fiscal year, however as we go through our Oracle implementation, we do expect to receive, I mean improvements in efficiency and process that will drive an improvement in cost structure down the road, but at this point don’t have anything specifically planned. As far as it relates to total cost savings over the last 18 months we’ve eliminated about $44 million in costs of that about $35 million have been in this current fiscal year, identified in this current fiscal year.
Sabu Joseph BOE Securities:  I believe some of those cost savings related to pension expenses is that right?
Martin Ellis: Right some of the cost savings certainly announced here at in our last quarter related to reduction in 401(k) expense and a suspension of our contribution to 401(k) and we did indicated in our last earnings call that that would be a temporary cost savings that we would re-institute 401(k) match here at some point.
Sabu Joseph BOE Securities:  Okay, do you have any thoughts as when you might reinstate that?
Martin Ellis:  No, we would really evaluate that as we enter our new fiscal year starting April 1st.
Operator.:  Thank you. There here are no further questions I’d like to hand the floor back over to management for any closing comments. 
Martin Ellis:  Thank you Jackie with that I’d like to thank you for joining us today and we look forward to reporting on our continuing progress.
Operator: Thank you this concludes today’s conference call you may disconnect your lines at this time. Thank you for your participation.